Operator: Good day, and welcome to the Q1 2021 Enterprise Products conference call. At this time, all participants are in a listen-only mode. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to Randy Burkhalter, VP of Investor Relations. Please go ahead, sir.
Randy Burkhalter: Thank you, Christie. Good morning, everyone, and welcome to the Enterprise Products Partners’ call to discuss first quarter 2021 earnings. Our speakers today will be Co-Chief Executive Officers of Enterprise’s General Partner, Jim Teague and Randy Fowler. Other members of our senior management team are also in attendance for the call today. During the call, we will make forward-looking statements within the meaning of Section 21E of the Securities and Exchange Act of 1934 based on the beliefs of the company as well as assumptions made by and information currently available to Enterprise’s management team. Although management believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to be correct. Please refer to our latest filings with the SEC for a list of factors that may cause actual results to differ materially from those in the forward-looking statements made during this call. And so with that, I’ll turn the call over to Jim.
Jim Teague: Thank you, Randy. Our businesses continued to perform extremely well during the first quarter. We reported $2.2 billion of adjusted EBITDA. Distributable cash flow was $1.7 billion, and 1.8 times coverage, and we retained $700 million. Randy is going to get into the numbers deeper. We couldn’t be prouder of our people. Time and time again, whether they’re faced with a financial crisis, over 50 inches of rain from Hurricane Harvey at Mont Belvieu, or a combination of pandemic, global price war that was immediately followed by a record Gulf Coast hurricane season, or a historic winter storm that shuts down virtually the entire state, our people prepare, adjust when needed and they execute and make things happen, and for that we are extremely grateful. Relative to the winter storm, forecasters did a great job of calling for a major event, historic event at least a week in advance. As the storm developed, every county in Texas, as you know, was under a winter storm warning. It froze in supplies across the state and affected the entire energy value chain. It impacted much of the generating capacity across the state, at one point, even some of our nuclear. In spite of what you’ve heard in the press, Texas ended up counting on natural gas as wind generation dropped to near zero at the height of the storm. Our people prepared, backing our pipelines, buying extra gas to prepare for freeze-offs, scheduling our assets and staging themselves in hotels and own cots at our plants. Most of our Texas assets, including our assets at Mont Belvieu and the Ship Channel were offline at the height of the storm mostly intentionally, as we work to make BTUs available through deep rejection, bypass and plant shutdowns. We sold natural gas to electricity generators, natural gas utilities and industrial customers to assist them in meeting their needs. Our gas business, which includes pipelines, gas storage, small gas storage and gas marketing is integral to what we do in many of our other businesses, but it’s nowhere near the size of, say, a Kinder Morgan or Energy Transfer. During the freeze, our natural gas team, including the commercial gas control and gas marketing and schedulers worked tirelessly. They knew to start preparing long before the temperature had dropped, then they worked around the clock for days to deal with the problems and the opportunities. And it shows in our results. As to power, our people took proactive steps to minimize our exposure to $9,000 megawatt per hour power through participation in ERCOT’s LARS program, which redeploys industrial power supplies to human needs and by voluntarily shedding a significant amount of load. Today, Texas and Louisiana Gulf Coast petrochemical plants and refineries have completed repairs and have increased rates, with both industries realizing some of the best margins we have ever seen. As we emerge from COVID-related lockdowns, global demand continues to improve for crude, NGLs, primary petrochemicals and refined products. Diesel demand actually exceeds pre-COVID norms in much of the world, and gasoline demand is picking up, already exceeding 2019 levels in some countries. Downtown Houston is far from fully occupied, but traffic in this city is, at times, already back to what some term as awful. For the first time in my life, I think traffic jams are beautiful. Since April 20, 2020, we have been outspoken about why we felt oil prices would go up dramatically. While economic recoveries aren’t uniform, when you look at the world’s largest economies, demand has moved up, and all indications are that even Europe isn’t far behind. Moving on to capital. We continue to expect our growth in capital investments for 2021 to be $1.6 billion and another $440 million for sustaining capital. The rest of 2021, we continue to be on schedule to complete the expansion of our Acadian Gas system to Gillis, Louisiana, which serves LNG markets, the expansion of our ethane, ethylene and propylene pipeline systems and the construction of our natural gasoline hydrotreater. Our growth capital in 2022 and 2023 for projects currently sanctioned is $800 million and $400 million, respectively. Longer-dated capital commitments are largely around our PDH 2 plant expected online in 2023. We know that we’re in the show-me state for this project because of the difficulties we had in our first PDH. I will tell you I have a high level of confidence that PDH 2 will be highly successful and will generate consistent cash flow. As to PDH 1, we recently completed a 46-day turnaround. It was on time, and it was under budget. The restart went exactly as planned, and the unit is operating above design capacity. Sometimes I read reports that make me think investors are worried that we’re running out of projects, and then the next report I pick up makes me think investors are worried that we’re going to spend a dollar. We have never been afraid of opportunity, but we definitely respect this part of the cycle, and our expectation for returns on new projects have moved forward. Going forward, I think you should probably think about our capital run rate as somewhere between $1.5 billion and $2 billion. I hear a lot about energy evolution. Note that we don’t say transition. We’re thinking of things like hydrogen and carbon capture, utilization and storage, not just as threats, but as potential opportunities. Angie Murray, our Senior Vice President of Technology Services has taken on additional responsibilities around a deep-dive technical analysis of low-carbon technologies currently under discussion. Over the last two years, Angie and her team have worked closely with Operations and our Big Data team, identifying several areas to significantly cut our operating, in some case, our capital costs. What we’re finding is these are not one-time hit, but are to be thought of as continual improvement. In addition to those responsibilities, Angie’s role has been expanded to include a focus on evolutionary technology for lower-carbon opportunities. We have to have a strong technical focus on these opportunities. For example, for hydrogen, outside of the rather large presence we have today through our petrochemical assets, Angie’s Evolutionary Technologies team, that’s a mouthful, Randy, is leading the initiative to research and analyze where we might go next in applications for things like transportation and storage. Angie’s team is also responsible for helping us understand the technology behind sequestering our own carbon. In addition to hydrogen and carbon capture, there are other new low-carbon areas that could be a fit. For example, as a member of the Alliance to End Plastic Waste, we are clearly interested in the different technologies used to recycle plastics and what opportunities might exist for Enterprise in handling the resultant products. As to new initiatives, we always have commercially sensitive things we are working on, but most of the things we’re working on expand and in some cases, converts what we already have, think in terms of product upgrade and repurposing underutilized assets done in a manner that gives our customers new markets. Some of these initiatives even fit the definition of energy evolution. However, profitability will always be a prerequisite. Things are never typical, but what has become typical is, regardless of the environment, Enterprise people perform. The groundwork for our performance today was created 5 to 10 years ago, and what we will become in 5 to 10 years is being created today. Our natural extension of our value chain in 5 to 10 years could very well be things like hydrogen transportation and storage or sequestering carbon and transporting, storing and upgrading the by-products produced from recycled plastics. While nothing is off the table, demand for fossil fuel and its derivatives will continue to grow, and that will remain our foundation. And with that, Randy, you got it.
A - Randy Fowler: Okay. Thank you, Jim. Good morning, everyone. Starting off with the income statement. As far as on the first quarter, net income attributable to common unitholders for the first quarter of 2021 was $1.3 billion or $0.61 per unit on a fully diluted basis. This compares to $1.4 billion or $0.61 per unit on a fully diluted basis for the first quarter of 2020. Net income for the first quarter of this year was reduced by a non-cash asset impairment charge of approximately $66 million or $0.03 per fully diluted unit. The impairment charges were largely related to our legacy coal seam natural gas gathering system and Val Verde treating facility in the San Juan Basin that was held for sale at the end of the quarter. Notably, net income for the first quarter of 2020 included a $187 million or $0.08 benefit from deferred income-tax benefits. Moving on to cash flows. Cash flow from operations was $2 billion for both the first quarters of 2021 and 2020. Free cash flow for the 12 months ending March 2021, that is cash flow from operations less cash used for investing activities, netting out any contribution from our JV partners was 3.1 billion, this compares to 3.4 billion for the comparable trailing 12 months. We generated over $350 million of discretionary free cash flow in the first quarter. That’s cash flow from operations minus capital investments and also minus cash distributions to partners. We believe we remain on track to be discretionary free cash flow positive for the entire year. We declared a distribution of $0.45 with respect to the first quarter to be paid on May 12. This distribution represents 1.1% increase compared with the first quarter of 2020. While we settled $14 million of unit purchases – unit repurchases in early January, these were associated with open market purchases in the month of December, and that really just the settlement of them. We did not execute any new additional unit purchases in the first quarter of 2021. EPD’s distribution reinvestment plan and employee unit purchase plan purchased a combined $33 million of EPD units in the open market during the first quarter. This was equivalent to about 1.6 million EPD units purchased off the open market. Our payout ratio, which we define as the sum of cash distributions and buybacks as a percent of our cash flow from operations over the trailing 12 months, was 68% as of March 31, 2021. As we said on our earnings call in February, while we currently expect to generate discretionary free cash flow for 2021, our first priority is financial flexibility until we get better visibility on regulatory, energy and tax policies of this new administration in Congress. We believe it would be premature to provide any distribution growth and buyback guidance at this time. Enterprise has a long history of responsibly returning capital to limited partners. It continues to be one of our primary financial objectives and has been since our IPO. And in fact, since our IPO, we have returned approximately $40 billion of capital to our limited partners, including $4.2 billion in 2020. Moving on to capitalization. Our total debt principal outstanding was approximately $29 billion at the end of the first quarter. Assuming the first call date for our hybrids or the final maturity date for the hybrids, the average life of our debt portfolio is 16.7 years and 21 years, respectively. Our effective average cost of debt is 4.4%. In the first quarter, we repaid 1.325 billion of maturing senior notes using the remaining proceeds from our August 2020 senior notes offering and proceeds from the issuance of short-term notes under our commercial paper program. Adjusted EBITDA for the first quarter of 2021 was $2.2 billion and $8.3 billion for the 12 months ended with the first quarter. Our consolidated leverage was 3.3 times after adjusting debt for the partial equity credit given by the – on the hybrid securities given by the rating agencies and further reduced for unrestricted cash. This was at the lower end of our leverage target of 3.5 times plus or minus a quarter, or our target leverage range of 3.25 to 3.75 times. Our consolidated liquidity was approximately $5.1 billion at the end of the quarter. That includes availability under our existing credit facilities and approximately $229 million of unrestricted cash on hand. At this time, we do not foresee the need to access the debt capital markets in 2021. However, depending on market conditions, we may elect to approach the debt capital markets later this year to pre-fund our 2022 maturities. And with that, Randy, I think we can open up with questions.
Randy Burkhalter: Thank you, Randy. Christie, we’re ready to take questions from our audience. Before you do that, let me remind our listeners, if you would, please limit your questions to one question and one follow-up question. Thank you. Christie, go ahead.
Operator: Certainly. [Operator Instructions] And your first question is from Jeremy Tonet of JPMorgan.
Jeremy Tonet: Hi. Good morning.
Jim Teague: Good morning.
Jeremy Tonet: I recognize it’s probably kind of a complex question with Uri, but just want to know if you guys could provide any color as far as net-net what type of benefits you saw from the storm during the quarter, and then just to isolate kind of base business trends, I guess, how you see volumes recovering or not recovering at this point?
Jim Teague: Yes, Jeremy. I’m going to look at Chris. I think around $250 million?
Chris Nelly: Yes.
Jim Teague: Did that answer it, Jeremy?
Jeremy Tonet: Yes. And just the base business then outside of that, do you still see kind of recovering at this point or just – trying to get a feel for that?
Jim Teague: Absolutely, we see it recovering. If you listen to my script, we’re bullish. I mean, you think about crude oil, since April of last year has gone up, what, damn near $100 a barrel from a negative 37 print.
Jeremy Tonet: Got it.
Jim Teague: Yes. What’s Goldman saying, $80 in the third quarter?
Jeremy Tonet: Got it. Got it. And maybe just a quick one on energy evolution. Just wondering, as it relates to carbon capture right now, if you see the 45Q’s being kind of sufficient policy to make projects economic such as gas processing there, and what other opportunities could this breed? I mean, could you have underutilized Permian pipelines move CO2 from the Gulf Coast into the Permian for injection there and kind of tightening take-away market? Just trying to think of what’s possible here.
Jim Teague: Yes, I think everything’s possible, Jeremy. We’re not taking anything off the table. What we have done is we read everybody’s going to net, whatever, past my lifetime. What we’ve decided is we got to take a step back and that’s why Angie’s taken the lead on just looking at the technology associated with all of these different possibilities and understanding the technology. And then working with our people in other parts of – like our commercial groups and our operations group saying how does that fit here? Hell, if we just captured our own carbon at Mont Belvieu and sequestered it, it’d be a nice thing. Graham?
Graham Bacon: Yes, it would be about quite a bit. Yes, nothing really to elaborate more on what Jim said. We’re still evaluating all of our pipelines and all of our opportunities. Everything’s on the table and really just got a focused effort on it now and coordinated throughout the organization.
Jeremy Tonet: Got it. Great. I’ll leave it there. Thank you.
Operator: Thank you. Your next question is from Christine Cho of Barclays.
Christine Cho: Good morning.
Jim Teague: Good morning.
Christine Cho: Can you give us an update on your outlook for crude production overall and specifically in the Permian? How that has evolved over the last couple of months, especially with the big surge in private activity in the Permian, how that shapes your volume and price outlook for the rest of this year and maybe next year? And also curious to the competition for getting the barrels from a lot of these private producers, most of which seem to have only one rig operating. And my guess is they don’t have much contracted from the Midstream perspective, but any color would be helpful.
Tony Chovanec: Chris, it’s Tony, I’ll take the first part and Brent may add on the second part. Permian volumes, like everything else, it’s hard to look at the latest EIA reports and make too much sense of it. But the long and the short of it is if you look at frac crews in the Permian, they’re back to about almost 80% of their all-time highs, okay? The facts are the Permian is leading everything. The challenge there is in every other base, if we think about oil, is lagging. It’s really all about Permian. So where we are as we have originally said at our analysts meeting, we thought that we’d have somewhere short of 100,000 barrels December year-end 2020 to 2021 of increase across the United States. We think that number at this point is low. It’s probably closer to 250 in the year 2021, all right? We also said that we thought in 2022 and 2023 that we have about 1.5 million barrels of production increase across the United States. So if you – and it’s hard to say, is that going to happen in 2022, or is it going to happen in 2023? Of course, it’s very difficult. But if you add that all up, that’s 1.8 million barrels a day of incremental crude over three-year period with it very much loaded in 2022 and 2023s. That’s a pretty good run rate and it’s very much dominated by the Permian Basin. And Brent, I’ll ask you how you think the privates are faring and how they’re contracted.
Brent Secrest: From our side, we’ve seen these guys very active. At this point, really it comes down to geography and where your assets are. I’d venture to guess we’ve done more deals with privates in the last nine months than we probably did over the last nine years. They’re not big capital projects, but they fill up pipeline capacity, they fill up processing capacity. On the crude side, there’s some production that’s close to our lines, we could use some gathering deals with them, but they’re – and a lot of stuff is acreage dedication, but we feel very good about their activity and where that’s going to end up.
Christine Cho: Got it. That’s really helpful. And then earlier this year, you guys mentioned that you still expect your – expect to capture $500 million to $600 million of margin from outside spread opportunities and marketing. With the first quarter out of the way and I think to Jeremy’s question you said $250 million from weather impact. Is that $500 million to $600 million still something you’re comfortable with? And where should we expect the remainder to come from in the remaining quarters?
Jim Teague: I’ll start and then I’ll let somebody else jump in. This is Jim. No, I’m not comfortable with $500 million or $600 million. I think we might be approaching that now. So I think it could likely be a little more than that. What do you think, Randy?
Randy Fowler: Yes, Christine, because a little bit I go back there’s something Jim said really I believe he said it on our fourth quarter call of 2020 and our fourth quarter call of 2019 that over the last few years, what we call out-sized spreads, have ranged $500 million to $800 million. And I think his comment was we seem to always find a way to come in and capture opportunity. And the way this year is shaping up and what we see, I think we may get to that, be back in that same range again this year as well.
Christine Cho: Great. Thank you.
Operator: Thank you. Your next question is from Jean Ann Salisbury of Bernstein.
Jean Ann Salisbury: Hi. Good morning. You were at 100% frac utilization at the end of last year. Should we expect another frac FID pretty soon?
Brent Secrest: Jean, this is Brent. That’s not in our plans.
Jean Ann Salisbury: All right. You guys have a way to send it to third-party frac or something I guess if you go over your capacity.
Brent Secrest: I think if you look at our system and how we optimize our system and what the variable costs are for us to go access additional capacity, the economics are hard to justify for new frac for Enterprise.
Jean Ann Salisbury: Got it. Helpful. And I think you recently estimated getting approval for the SPOT terminal in the third quarter of this year. Would you need to see some of the rebound I think that Tony just talked about in a previous question? Like would you need to see volumes to start going up to continue to pursue that? Or you’re happy with the project as it is? And as soon as you get the approval, you would need to see the rebound first.
Jim Teague: This is Jim. I think we’re happy with where it is. We’re also in discussions with some other companies as to coming in as joint venture partners, and it wouldn’t surprise me if we didn’t do that.
Jean Ann Salisbury: Great. That’s all for me. Thank you.
Operator: Thank you. Your next question is from Tristan Richardson of Truist Securities.
Tristan Richardson: Hi, good morning, guys. Just with the production commentary Tony and Brent discussed and the downstream demand recovery you’re seeing, does this put us on a path for a stronger 2022, even despite sort of the non-recurring margin capture we saw in the first quarter?
Jim Teague: Yes. I’ll start off. Yes. I think we’re pretty bullish. I mean I think Tony said it best. We’ve always had debates between Tony, and I have always been more bullish than he is. And this non-recurring or whatever we call it, and Randy just said it. When you do it every year, why is it nonrecurring? It just happens somewhere else. If it’s not gas marketing, it’s NGL marketing. If it’s not contango, it’s backwardation. We seem to – we have a footprint that lends itself to when there are issues, we have opportunities.
Tristan Richardson: That’s helpful. And then just you talked about some of the carbon capture, hydrogen renewable gas opportunities. Should we think of the $1.5 billion to $2 billion of high level sort of annual spend as including some of these more energy evolution-oriented projects or technologies? Or would a project that comes in under that sort of umbrella be incremental to that annual number?
Jim Teague: I think the annual number is all inclusive.
Tristan Richardson: Thank you, guys. Appreciate it.
Operator: Thank you. Your next question is from Shneur Gershuni of UBS.
Shneur Gershuni: Hi, good morning, everyone. Jim, it was very good to hear about the initiatives that you’re embarking upon and Angie’s new responsibilities. Maybe a follow-up to Tristan’s question here. So when I’m sort of thinking about Enterprise in terms of FID CapEx, you have $800 million FID for 2022, and you gave the $1.5 billion to $2 billion longer-term number. If I understood Tristan’s question correctly, some of that may include some of these evolutionary opportunities. Can we assume that’s going to be the case for the 2022 calendar year? How far down the path are we in terms of Angie’s new responsibilities? Are there any technologies in particular that are in the later innings that would get us closer to FID, whether it’s hydrogen or whether it’s carbon capture? I’m just wondering if you can give us a little color on that.
Graham Bacon: Yes. This is Graham. We’re still identifying what those projects are. Always our first opportunity is to really take the low-hanging fruit, utilize existing assets and minimize the capital and get a big bang for the buck with the assets that we have. Over the longer-term, we’ll develop probably more extensive projects as the technology improves and becomes economical. So at this point, we’re really looking how do we capture the biggest benefit with the assets that we have.
Jim Teague: Yes. We produce so much hydrogen. Graham, 150 million?
Graham Bacon: 150 million.
Jim Teague: 150 million a day. So – and we use 40 million, 50 million a day, something like that?
Graham Bacon: Yes. We’re looking to use more of that. We’re looking at technology that allows us to reuse that a lot more of that at our Mont Belvieu facility. It’s a big bang for the buck on emissions, but it doesn’t cost us a lot of capital. And those are the type of projects that we’re really trying to move forward with as quickly as possible.
Jim Teague: So if we can optimize what we have within our own system and then let it evolve to see what other commercial opportunities might evolve from that carbon capture. If we can sequester our own carbon, then what other opportunities evolve from that? We’re not going to announce a CO2 pipeline out of the Permian today, but who knows down the road.
Shneur Gershuni: That makes a lot of sense. Appreciate the color there. And maybe as kind of a follow-up on your current existing business. I was wondering if we – and I’m not sure if this is a Jim or Tony question here, but if – can we talk about the kind of where you see the direction for hydrocarbons right now? We have upstream companies that are looking to be disciplined with respect to growth, so kind of more muted. At the same time, you have changing consumption patterns, whether it’s energy transition or whether it’s just commutes post pandemic. Is exports the path that you see forward to SPOT give Enterprise an opportunity to kind of optimize your asset footprint where you move crude to SPOT, add more LPG and ethane export capacity in the channel? Do you consider exporting refined products? I was just wondering if you can opine on that if you can.
Tony Chovanec: I’ll take it. The forecast of energy economists of late, many of them – a large portion of them are showing that the U.S. will be back – I mean that the world will be back to 100 million barrels by the end of 2021. And you see it in diesel consumption, just because of the amount of money there is and pent-up demand. And now you’re seeing it in gasoline comment Jim made in his script. Glad to hear him say that because that is the case around this town. While downtown is somewhat sparse, it’s amazing at the traffic levels. There are no cars on the car lots for sale around Houston. I mean there are some, but there’s a tremendous shortage. People have money. I don’t know if you’ve noticed, but the savings rate in the United States has doubled. Those are meaningful stats. So then we look at the news, we see what’s going on in India, which is not real positive for India. But at the end of the day, the U.S. and others are pitching in to get vaccine to India. Europe is going to catch up. We just look at the world, and we look at the change in GDP from 2020, 2021 and the potential for 2022. There’s no way to deny the numbers. They’re very meaningful. So do I think that hydrocarbon demand in the world, that we’re going to see all-time highs probably in 2022? Could well happen. I’ll say I’d be surprised if it didn’t. Randy, do you feel different?
Randy Fowler: Yes. A little bit will come in and – again, a little bit of a theme that we talk about is you still have 3 billion people, almost 40% of the world living in energy poverty, meaning cooking with – not having access to clean cooking, so either cooking with charcoal or cooking with wood and leading to 4 million or 5 million deaths a year with in-home pollution. So there’s still a huge need just to improve human life. And I think we’ve seen it over the last 100 years that nothing has improved human life better than the products that come from natural gas and oil production.
Tony Chovanec: And I think relative to exports, I’m going to start a little bit, and then I’m going to hand over to Brent. But where do you think – let’s think long-term in that regard and where you think U.S. is going to go as far as electric vehicles and hybrids. Certainly, we’re going to have more of them. We’re going to have efficiency standards on our gasoline. We’re going to do more from an industrial standpoint here. But I don’t talk to as many foreign customers as Brent does, but the message is always the same. We see them on Zoom calls. We’re seeing them in person now, and they want to know that we believe that U.S. producer is in it to win it long-term.
Brent Secrest: Yes. I think that’s the question is, I mean, do you believe that the U.S. is going to increase production on crude, NGLs, and is there – are there economics for them to do that? And then at that point, if you believe that, you believe demand here in this country is staying flat to declining, then what’s the most efficient and effective way to get to the water? So when you look at the projects that we have that we’ve talked about in the past, you guys talk about SPOT, that’s the most efficient way to get crude oil to the water. There’s some contractual issues that exist right now, but those will go away. And that project is more strategic to our upstream system, and that’s why we like it. On the NGL side, we still believe in NGL production. Frankly, it has to price to export. So there’s different ways that once these things happen that we can optimize the system.
Shneur Gershuni: Great. Perfect. Really appreciate the expanded discussion. Thank you very much. And that’s all for me today.
Operator: Thank you. Your next question is from Michael Blum of Wells Fargo.
Michael Blum: Thanks. Good morning, everyone. Just maybe staying on the exports for a minute. I’m wondering if you can give us any kind of real-time look into what you’re seeing in terms of LPG export demand in light of the surge of COVID cases in India.
Jim Teague: What are we exporting?
Brent Secrest: Yes. This month is…
Jim Teague: 15 million, 16 million?
Brent Secrest: It’s around there. So it’s not what you saw – this is Brent. It’s not what we saw in fourth quarter, and there’s some balancing going on right now. I don’t know if as much it’s – like the demand is there long-term. But if you look at just what prices have done on propane, first quarter of 2020, it was $0.37. Fourth quarter, it was $0.57. First quarter 2021, it was $0.90. So markets work, and you saw the backwardation in some of the LPG markets. And so I think you saw some deferrals or you got some cancellations. And then ultimately, this is how this is going to balance until production starts doing what Tony has talked about in the past. So we’ve seen some drop-off in India. But certainly, China has been able to step up and help fill that gap.
Michael Blum: Got it. My second question really relates to pipeline capacity rationalization. You talked a bit about that at your Analyst Day, and I’m wondering if you could tell us do you – are there any discussions going on behind the scenes within the industry to make this happen? Or do you think it’s just something that’s going to be very difficult because there are just too many hurdles to actually achieving it, either yourselves or for the industry? Thanks.
Jim Teague: You’re talking about repurposing pipelines, Michael?
Michael Blum: Pipeline rationalization, however, it could get done.
Jim Teague: You’re referring to some of Brent’s comments on the last earnings call.
Michael Blum: Correct.
Jim Teague: Yes. I hesitate to have Brent speak for himself. We’re looking at repurposing for sure. And I think you’ll see more of that. What Brent was saying last quarter is the same, Brent? You don’t – there’s some of these guys that are going to have problems.
Brent Secrest: I mean if you look at pipelines that don’t have contracts, somebody asked about CO2 being repurposed, I mean, that looks like a good project. If you don’t have contracts and you’re exposed to an arb from a market to another market that’s fairly flat. All the Permian capacity is very competitive regardless of the commodity. And no different than other companies, Enterprise tries to figure out the most efficient ways to move NGLs and crude oil in our system. And we have a Seminole pipeline that’s in crude service and we have an NGL pipeline that, frankly, we only own two-thirds of. So, there’s different ways that we can, as Enterprise, try to rationalize and optimize our capacity to the benefit of Enterprise. As far as the others, I assume they’re doing the same thing.
Jim Teague: Which you’re glad your contracts on crude oil go out to 28.
Brent Secrest: We are glad our contracts go out there, yes.
Operator: Thank you. Our next question is from Keith Stanley of Wolfe Research.
Keith Stanley: Hi, good morning. I wanted to ask on capital allocation and Randy you said, again, that you wanted flexibility on redeploying free cash flow early in the year, and highlighted just uncertainty on federal policies, including, I think, you said tax policies. Can you just elaborate on what you’re mainly focused on in the new administration’s infrastructure and related tax plan, or any other potential policy changes you’re focused on for – for capital allocation?
Randy Burkhalter: Keith, when you come in and you look at what’s been introduced thus far this year and you – one of those things, you better look at the newspaper every day to keep in touch. In the last 100 years, there’s really been three big moves in tax policy, and that was the New Deal. It was the Reagan era tax policy. And now as we emerge into the Biden era, this is like the third major tax swing that we we’ve seen in 100 years. And so I think we’re paying attention to see which of these proposals actually make it into legislation and then actually get passed. And I think we’ll be a lot smarter three months, six months from now than we are today. And we think it’s just responsible to – let’s come in and focus on financial flexibility. And again, we’ll be a lot smarter here in three to six months.
Keith Stanley: Okay. I guess I’m just curious, like from a – being an MLP, just how you’re thinking – are you thinking the tax policy changes could affect you directly? Or just any further thoughts on the tax piece of that.
Randy Burkhalter: Keith, honestly, we’ve got a 180 of possibilities out there. You’ve got this Financing Our Energy Future Act, which is bipartisan legislation that’s been introduced on the House and the Senate that is actually taking existing MLP tax law and really expanding the scope of it to bring in new activities as qualified earnings such as handling some of this green or blue hydrogen coming in and being able to get into renewables, whether it’s wind or solar, and some of these other activities. So, I actually would be broadening the scope of what qualifies as earnings for an MLP. On the other side of the equation, there’s been a proposal that came out of Senate Finance Committee, it is not bipartisan, it is partisan and I think it’s actually legislation that’s been introduced at least a couple of times before and – but it never win anywhere. And with that one, it would come in and take business activities that handle fossil fuels what we do today and you would no longer be qualified for pass-through treatment and you would be taxed as a C-Corp. So, really there’s – the range of possibilities is 180 degrees in here and I think we’ll be spending a good bit of time up in D.C. Some of the legislation is just sort of counter to what some of the objectives that you hear are where – whether the – again, this coming in and taking traditional MLPs and then making them subject to taxation sort of goes counter to what we’re trying to do with that Financing Our Energy Future Act is sort of counter to that. It’s sort of counter to the Infrastructure Bill too, you’re out here with a package trying to promote infrastructure but it seems like it’s counter to infrastructure. And finally, the last thing, it seems like it might be a counter too as this whole pivot to Asia, one of the reasons we’ve been able to, as a country I think are able to pivot to Asia is the energy security that the United States has and that we’re not reliant on the Middle East. So some of what we’re seeing out there on the tax front is there seems to be some inconsistency on some of the proposals. But I think this will be an active year in D.C.
Keith Stanley: All right, thank you. That’s very helpful color. Second question, I guess it’s kind of summing up some of the earlier questions. But last quarter, you guys for the first time indicated 2021 EBITDA to be kind of flattish versus 2020. You had a pretty good Q1 with some strong benefits and you’ve pretty positive tone on the macro environment and on marketing potential and differentials for this year. Is it fair to assume 2021 EBITDA at this point is now tracking better than 2020 or just any rough sense how to think about the year?
Randy Fowler: Yeah, Keith. Really, I think we’ll just stick with our guidance. We’ll let you guys model it up. You know, we don’t provide formal guidance, not really looking to start on this call. But you do a great job as well with some of your peers. So, we’ll pass on that.
Keith Stanley: Okay. Thank you.
Operator: Thank you. Your next question is from Michael Lapides of Goldman Sachs.
Michael Lapides: Hey, guys. Thanks for taking my question. It’s actually a little bit of a follow-on on thinking about D.C. and legislation. Just curious, I mean Congress is pretty divided. Few people think a 28% tax rate happens. Most think it’s a lower number than that, but it’s also – we’re 18 months out from the next election and a very divided Congress. How long do you wait, right? Like we may have uncertainty for a long time. Legislation is hard. When you’re thinking about capital allocation, at what point do you say, we start ramping the process because to be blunt, D.C. – D.C. may take some time?
Randy Fowler: Yeah. I hear you on that but it seems like this is a – let’s just say this is a noteworthy Congress and a noteworthy time. And we’ve got the luxury that we can come in and I think if we come in and we see good capital projects, we’re going to allocate our capital there. But to come in and say anything beyond that, I think we’d like to see tax policy looks like. And again, I think in three to six months, we’ll be a lot smarter.
Michael Lapides: Got it. Okay. And then one last question. Just curious, if you move forward with SPOT, how should we think, I mean, given the fact we’re exporting as a nation, what, 2.5 million to 3.5 million barrels a day just depending what we were looking at, and we have a lot more capacity than what we’re actually exporting. How do you think that ripples through the broader supply and demand matrix for those who – for existing export facilities including some of your own?
Randy Fowler: I think contracts matter. That’s going to take some time, but that project has a long runway. I mean, there’s no question that crude export capacity is overbuilt, but I do think it will do at the most efficient way, it’ll do at the most economical way. And frankly, when you look at who’s producing crude oil now and it’s larger-type companies, at the end of the day, I do believe they want to deal with larger companies on the service side and they do want to do it the most efficient way.
Michael Lapides: Got it. Thank you, guys. Much appreciated.
Operator: Thank you. Our next question is from Michael Cusimano of Heikkinen Energy.
Michael Cusimano: Hey, good morning. I wanted to first talk about the propylene business. Propylene from frac seems to be doing really well. Can you just maybe talk about your expectations for that business for the rest of the year and maybe your outlooks on spreads also for the rest of 2021?
Jim Teague: Chris, you want to take it?
Chris Nelly: Sure. The outside spreads that we’ve seen over the last several months really a result of the hurricanes and the winter freeze. So, we think things are going to normalize here. But we’re bullish overall, the need for primary petrochemicals. And it goes the same story as LPG. Just the improving quality of life around the world.
Michael Cusimano: Got it. Okay. And then as a follow-up, I want to talk about that $1.6 billion CapEx number. Is there anything you’re looking at for 2021 that can move that higher or any risk to that number?
Jim Teague: It’s Jim. I don’t think so.
Michael Cusimano: Okay. Perfect. Well, thank you all. Appreciate it.
Operator: Thank you. Our next question is from Christine Cho of Barclays.
Christine Cho: Hi. I just had a follow-up on the response to one of your earlier questions. You mentioned the possibility of repurposing a pipe this year to service, but I was under the impression that this is pretty difficult to do with the liquids pipeline and may be possible with a gas pipeline since the CO2 pipelines require separate pipelines and a lot more compression. So, curious as to your thoughts here on how capital-intensive such a conversion could be.
Jim Teague: Yeah, Christine. We’re just using it as an example. We agree with you. I think, Graham, it’s…
Graham Bacon: The pipelines come in all shapes and forms, and some are suitable for conversion to CO2 and some are – and we have some that are ….
Jim Teague: Christine, we’re not making any announcements.
Christine Cho: Right. Right. I just was curious as to how that would work in actuality. But, okay. Great. Thanks.
Randy Fowler: Christy, this is Randy. If there’s no other questions, I think we can go and give our listeners the playback information. And then also, I wanted to thank everyone for joining us today, and have a good day. Thank you.
Operator: And ladies and gentlemen, to access a replay of today’s call you may dial (800) 585-8367 and reference ID number 3068988. Again, that number is (800) 585-8367 and reference ID number 3068988. This does conclude today’s conference call. You may now disconnect.